Operator: Good morning, ladies and gentlemen. Welcome to the Third Quarter 2024 Matador Resources Company Earnings Conference Call. My name is Gigi, and I'll be serving as the operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes, and the replay will be available on the company's website for one year as discussed in the company's earnings press release issued yesterday. I will now turn the call over to Mr. Mac Schmitz, Senior Vice President, Investor Relations for Matador. Mr. Schmitz, you may proceed.
Mac Schmitz: Thank you, Gigi. Good morning, everyone, and thank you for joining us for Matador's third quarter 2024 earnings conference call. Some of the presenters today will reference certain non-GAAP financial measures regularly used by Matador Resources in measuring the company's financial performance. Reconciliations of such non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP are contained at the end of the company's earnings press release. As a reminder, certain statements included in this morning's presentation may be forward-looking and reflect the company's current expectations or forecasts of future events based on the information that is now available. Actual results and future events could differ materially from those anticipated in such statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company's earnings release and its most recent annual report on Form 10-K and any subsequent quarterly reports on Form 10-Q. In addition to our earnings press release issued yesterday, I would like to remind everyone that you can find a slide presentation in connection with the third quarter 2024 earnings release under the Investor Relations tab on our website. And with that, I would now like to turn the call over to Mr. Joe Foran, our Founder, Chairman and CEO. Joe?
Joseph Foran: Thank you, Mac. It's great to be with everybody again, the analysts and others for this question-and-answer time. And we want to be sure to talk about the matters that are most important to you. The things I'd like to emphasize here are first is that we've got a lot of questions about the Ameredev acquisition. It's being integrated very well. It's ahead of schedule and doing better than expected. The same thing throughout the company. All the teams have worked in their areas as you will hear from the various answers to your questions, that each of the departments are contributing to the good performance that we had this quarter. And I'm very proud of the way that -- and pleased the way everybody is working together and helping each other and coordinating these things because each department is not an island but works with the other departments. And it sounds corny, but it's really nice to see everybody working together and helping each other as events unfold, and it was a big quarter for us. We did the Ameredev. We did bond offering, two bond offerings. We did a stock offering. All these things came to pass, and we drilled some very exciting wells that we think, are setting up 2025. So the bottom line, my message is, if you like this quarter, I think you'll like the fourth quarter even better. So with that, I'll turn it back to you, Gigi, and we'll take the first question.
Operator: Thank you. [Operator Instructions] One moment for our next question. First question is from the line of Neal Dingmann from Truist. Your line is now open.
Neal Dingmann: Good morning, Joe and team. Nice quarter. Joe, I can't help but notice, I would say it's very commendable how actively you and the team continue to add shares in the open market, unlike what we're seeing from a lot of other companies like that slide that you put out highlighting this. And I'm just wondering, these open market purchases, to me, demonstrate how cheap you think the shares continue to be. And I'm just wondering given this continued discount, would you all consider stock repurchases as a larger part of your shareholder return going forward, especially once you get that leverage quickly back under one times?
Joseph Foran: Thanks, Neal. Thanks for noting the active buying, not just from Form four, but from the whole staff is that I think that's the most gratifying complements that the Board and the Management group can have is -- to enjoy the confidence and the support of the staff. And I really think they're knocking it out of the park and try to get better every day. And so it's fun to come to work. Now we believe they can see the future and that this buying by us, and we've never sold a share of stock too, is that our best years are still ahead of us. Now to your specific question about buybacks, yes, we consider them and we talk with other companies that have implemented them. And so far, we think the fixed dividend is the most effective way to return value to our long-term shareholders. This problem I have with buybacks is sometimes you're just exiting your short-term shareholders. They are taking advantage of the jump. But we are open-minded about it, and we'll continue to study it. And that fixed dividend, I'm really pleased to get it to $1. And as that dividend grows, then buybacks may be considered may be more appropriate. But at present, the shareholders seem to like keeping the fixed dividend growing. And the second factor is that debt is with dividends, it doesn't require us to go into debt. We're able to do that from our free cash flow. So when we get our debt down things like buybacks can be given extra consideration. The last thing that I'd like to say is that at our annual meeting, we have generally 200 or more attend and there your rake and can file long-term shareholders, and it hadn't been expressed to us to do buybacks. They have overwhelmingly indicated that preferred dividend races than buybacks because that moves them out and they don't get to enjoy the upside that we believe Matador offers. But we don't rule anything out, and the one thing we have, we do feel also gratify that these variable dividends haven't worked out that much, and you see companies moving away from them. So to me, it's down to fixed dividends or buybacks. And at present, we think the fixed dividend helps all the shareholders. And it seems to be the best received by our particular shareholder group. I hope that answers your question, Neil. It's a good one.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Scott Hanold from RBC Capital Markets.
Scott Hanold: Good morning to you all. Nice quarter. My question, and Joe, you all provided some framework on 2025, and I was hoping maybe to get a little bit more context and color if you can give us a sense of how you're thinking about like capital allocation in '25 to your respective areas, especially in light of, obviously, these new Ameredev assets that are performing really strongly out of the box. And what does that mean in terms of like when you think about nine rigs, how much capital would that potentially utilize for next year?
Joseph Foran: Well, Scott, let me take your question in parts and share with Brian Willey, some of the answers to that or with Chris Calvert, our Chief Operating Officer. But the very first thing is that we think profitable growth at a measured pace is best. You've heard that. It's a corny expression, but we said it often. And I know you've heard it, that we think that no growth is not what Matador's culture has been. Having grown from $270,000 in 1983 to the present level, we've tried to grow every year. And on average, we've averaged during those 40 years, a 20% annual growth. Now we know as we reach certain sizes, now we're over $11 billion in assets. Maybe 20% is maybe more than ideal, and we'll try to figure out as we grow, but we expect to grow. And we're fortunate that our staff, geology and engineering and land have all worked together to come up with a lot of inventory, 2,000 locations that we think will have a better than 50% rate of return on average. So when you can drill and get those kind of returns, we think that needs to be an active part. Now we'll be alert for acquisitions, as you know. But you've known us for a long time now. All the acquisitions we made during that time, these last 15 years, it worked out that. Again, I credit the team, Tom Elsener and all the other engineers. Tanna was doing a good job on evaluating that and then Ned and Glenn finding ways to add new zones and increase -- make better fracs with Cliff that add to those reserves. So I'm -- it's a plan that's working, but we try to stay open to new ways to do it and to make course corrections even in the middle of the year to optimize growth and returns to shareholders. So it's not that we have a five-year plan and that we go into it. Well, this is year one, so we do this. In year two, we do that. It's much more sensitive to where the opportunity is, and we proceed along those lines is that stay flexible and look for those special opportunities.
Brian Willey: Yes. And Joe, this is Brian Willey, Executive Vice President and Chief Financial Officer. As Joe mentioned, profitable growth at a measured pace. And Scott, you made reference to it, but didn't exactly put out the number, but we do expect to have over 200,000 BOE per day next year. And if you look on Slide M, you can see that we're really excited about those opportunities, as Joe mentioned. From a capital perspective, Scott, for your question, I think you mentioned the nine rigs were running nine superspec great rigs. We like those rigs and hope to be able to keep them throughout the year next year. This year, we only had nine rigs for half the year, and so we expect to have a little bit more CapEx next year and having those nine rigs a full year. And then you had also mentioned the Ameredev properties, and we are very excited about those properties already performing better than our expectations. And we've mentioned in the past that those have a high working interest, over 85%. And so we'd expect that between the high working interest from some of the Ameredev wells and the nine rigs for the full year. But directionally, CapEx will be a little bit higher than it was this year, $1.25 billion this year. It's a little bit higher than that, but the specifics will go into next year when we do our plan in February 2025.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Zach Parham from JPMorgan. Please go ahead.
Zach Parham: Yes, thanks for taking my question. You reported a tax refund this quarter and noted that you didn't expect to be subject to AMT in 2025. Can you just give us a little color on where you expect cash taxes to be in 2025 at this point? And maybe talk about how you would expect cash taxes to trend in future years?
Robert Macalik: Hi, Zach. This is Rob Macalik. I'm the EVP and CAO. We're really proud of the work we did over the last three months, and the team has really been firing on all cylinders, not only with the Ameredev acquisition, but obviously, on this cash tax part. And like Joe referenced earlier, I do feel like the team is really firing on all cylinders there. So I just wanted to start with that. As you noted in the release, we did reduce our estimate of the cash taxes as a percentage of pretax income. And we're really confident in that answer for 2024. And our -- the second thing that you noted on the corporate alternative minimum tax for 2025, I think is another really big win for the company. I think as we go through our planning, the actual cash tax rate for 2025 will be largely dependent on our plan and where we come out and the available deductions that Matador will have for 2025. And so as we go through the plan, we'll have more to say on that in February.
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Freeman from Raymond James.
John Freeman: Thanks, guys.
Christopher Calvert: John. Hi.
John Freeman: What I'm trying to think about what leverage you all can pull next year to continue this impressive run on the further efficiency gains to keep lowering that D&C per foot, obviously, expanding the use of Trimul-Frac seems pretty clear. Would another option possibly be shifting from kind of dual fuel the e-fleets and if that's something you've looked at just any sort of color on that topic potential savings, et cetera?
Christopher Calvert: Yes, John, it's Chris Calvert, EVP and Chief Operating Officer. Yes, obviously, thank you for noticing that. We're referring to Slide F in the deck, and we're extremely proud of the fact that we've been able to pull our drilling completion cost per lateral foot down from our January estimates of $1,010 per foot down to now in the $930 range. It's about an 8% reduction. We've talked -- the second half of this year, we have seen a little bit of softening in the OFS market in the oilfield services market. However, the primary drivers have been capital efficiencies from the operational front that you've spoken to. Really looking at what can push forward, I think the effectiveness of pushing forward implementation of Trimul-Frac into our program, we pilot tested Trimul-Frac the first part of this year. We've successfully done two more Trimul-Fracs in the second half of this year, one of which was actually done using remote frac operations. And so I think when we look into 2025, the increase of remote operations is going to be even a larger part of our portfolio simply because as we're able to tie potentially non-Simul or non-Trimul-Frac wells together, that continues our efficiency push of $250,000 or $350,000 well savings, respectively. But it also continues to solidify vendor relationships because every time we can convert non-Simul or Trimul-Frac wells into a Trimul- or Simul-Frac batch, it reduces move times for our service companies on the completion side. So it really is a win-win situation for us. And so increased optimization of both of those completion process is continuing to be a high priority, which will include a larger percentage of those being remote frac operations. And so from a completion standpoint, they should about cover it. On the drilling side, it's continuing to use with the assistance of our MAXCOM operations center. Over 300 drilling records to date since the inception of Maxcom in 2018, that continues to reduce drilling times. So if we look at our U-Turn technologies, for example, which have continued to become a larger presence of our drilling portfolio, we've reduced our drill time specifically on five U-turn wells that expect to be turned in line in the back half of this year by 30% as compared to our 2023 U-Turn wells. And so I think the efficiencies that we'll pull forward into 2025 is going to continue to be the same story, just continued improvement upon those processes. And so we appreciate the shout-out and the recognition for the accomplishments that we've made. But I think levers are still there to be pulled. I think we've proven ourselves. If you refer to Slide H as one of the most efficient operators in the basin we've proven it from an operational standpoint as well. And so I think we're excited what 2025 holds, and we'll continue to look forward to telling that story in February.
Joseph Foran: Chris, just to add on, I know I can see Glenn down there waving his hand. He wants his turn at that too. But you mentioned -- and I want to underscore about the savings in time because each time you save a day, it's about $100,000. And working closely with Patterson and our frac crews and the like, everybody has contributed to some time savings and it adds up, and that's why we're able to use nine rigs and not have to go to 10 or 12 because we're drilling these wells faster, which means you can get more wells drilled. And you've all have done an outstanding job, but the emphasize is that these savings are not coming because we're playing one vendor against the other. It's development or the basic belief is build a relationship with your vendors like our pipe and others, and it'll pay dividends, it'll pay -- it will be worthwhile over the years and over the long term. So I want to call attention to that as part of the efficiencies. And again, the shout out to the MAXCOM room, those guys go 24/7, two shifts, two-week tranches and geologists and engineers, and they're also really collaborating and helping work with you all. And so the drilling team and the MAXCOM team, all these groups, the finance team, everybody has worked together on this, and I'm real pleased that you're making as much progress as you are. Glenn?
Glenn Stetson: John, I just wanted to pile on to what Chris and what Joe was saying, too, on the use of produced water for hydraulic fracturing operations is just another cost efficiency that we see. It helps a little bit on the CapEx, but it really does help on reducing OpEx and lease operating expenses, as we use the wells produced water for frac. So it's just another place that we can see some cost efficiencies and also has the added environmental benefit as well.
Joseph Foran: Well, and the last thing, as we look at this, one thing that has helped our LOE is that we have a group of lease operators and production staff in the field that's found ways to do more work with less people. So their costs are spread over more wells, and I think they're doing a terrific job.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Kevin MacCurdy from Pickering Energy Partners.
Kevin MacCurdy: Thanks hi. Good morning, Matador team, and congratulations on a good quarter. I wanted to ask about the Ameredev assets. It looks like production from those assets has increased pretty materially since you closed the deal up to 31,000 barrels a day from 26,000 barrels a day in the third quarter. I wonder you could talk about what drove that increase? And how are you envisioning the trajectory of production and activity on those, the Ameredev assets specifically over the medium term?
Glenn Stetson: Hi, Kevin, this is Glenn again, EVP of Production. So yes, it's just as you noted, that the last 13 days of the quarter, the Ameredev assets averaged that 31,500 BOE per day. We are forecasting that to be down a little bit in Q4, but that is related to the shut-ins that will be as a result of the fracturing operations of the 11 new Ameredev wells that were in the middle of being drilled when we took over the asset. So a little bit -- also to answer your question about the outperformance really in the last 13 days of our expectations, a lot of that was related to the seven new Tea Olive wells that Ameredev brought on in the quarter before closing. And those wells had -- are both doing very well and better than our projections.
Edmund Frost: Yes. Hi, Kevin, this is Ned Frost, EVP of Geoscience, I think it's worth taking a moment to commend Ameredev for putting this position together. We have always liked the eastern side of the basin, our Antelope Ridge area as we call it. If you look at Slide 24, you can see a few of the well results called out here. our Cathy Brice wells, which are in the federal block in Eastern Antelope Ridge came on at a very strong rate. And then the Tea Olives, as Glenn mentioned, are also coming on at a strong rate. We had always been optimistic about this part of the basin, like I said, but I think these well results are really kind of confirming the quality of the rock over here. So we're really excited to keep developing this part of the basin and bring in more great wells forward in the next few years.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Gabe Daoud from TD Cowen.
Gabe Daoud: Thanks. Hi, good morning, everyone. Thanks for the time. A quick question. The $66 million in acquisitions this quarter, did that come in any volumes? And then the 200 MBOE/d target for next year, does that contemplate any inorganic opportunities? Thanks guys.
Van Singleton: Hi, this is Van Singleton on -- as far as the volumes go, the acquisitions came with a little bit of production. Brian, you may want to speak more to that piece of it, but it was a very small component of the kind of a brick-by-brick approach that we have done for many years and we'll continue to do.
Brian Willey: Yes. Hi, this is Brian Willey, Vice President and Chief Financial Officer. As Dan said, it was -- the production was fairly minimal for the third quarter for those acquisitions. It was about roughly 600 BOE per day, but that was already baked into our July guidance. And so fairly minimal. And as we go into next year, we always look at what transactions are closed and build that into our guidance as we go forward.
Joseph Foran: Gabe, this is Joe. And I want to emphasize just what they said. It was primarily the inventory, the opportunity to have undeveloped acreage that drove most of these deals. We were happy to pay for what production was received. But one of the major things that we've gotten questions on all year long is what is our inventory. And so as we evaluated acquisition opportunities, we were weighted a little bit -- not a little bit, but we were weighted more to the inventory opportunity than just buying PDP and adding that, not that we were disappointed in the cash flow that, that delivered, but the real target was adding to our well inventory and building up for the future.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Leo Mariani from ROTH. Please go ahead.
Leo Mariani: Yes, Hi guys. I wanted to ask a little bit about the midstream side of the business here. So you guys kind of specifically called out midstream value in the company of greater than $1.5 billion, in the release. And I think this has been a source of frustration for a while for the company and I wanted to see if maybe there's a plan in the works to try to unlock some of that value. And then additionally, obviously, you spoke a little bit to CapEx next year, saying that DC&E CapEx would be up a little makes sense with a slightly higher rig count. But on infrastructure CapEx, you guys have spent some capital over the last couple of years. I mean, do you think that is in maybe a position to start to come down a little bit in '25?
Joseph Foran: Yes. Leo, I'll take a stab at it and Brian or Greg can add to it or Chris. But the first thing is -- answer to your question is yes, we're always open to more opportunities on what to do with midstream, and several have been suggested. You may remember that we added Susan Ward to our Board. And Susan had been the Chief Financial Officer at Shell, for their midstream business. So she brings a wealth of knowledge, engineering background, great experience along her career to help us study the various alternatives and opportunities that are open to us. So we really value most highly about midstream is providing us with flow assurance because most of the equipment out there is a little older and maybe leaky at times. It's just older and we've come in. We've got new equipment, new pipe, and we thought that was very important. And it really proved itself during the time of Storm Uri. Everybody else was shutting in because of the freezing temperatures. And our guys, I don't know whether it is because I own some stock in it or whatever, but they were sleeping in their trucks. Only 5% of the plants were still operating, and we were one of them, and they were sleeping in their trucks and doing everything to keep the gas flowing, which was very important to us and to our participants in our system outside third parties, and it really proved that value. The second thing is when we talk about timing of money coming in, they're cooperating with the drillers and the completion team so that when they finish completing the well, the pipe is there waiting. And another one is area where they've really contributed is on the water disposal and reusing produced water. So we're not using hardly any fresh water these days, but it's the produced water. So it's good for the environment, good for the bottom line. Good to have the gas still flowing. And the oil is on pipeline, too. So our emissions are down to less than 2%, I think is right, Glenn. Is that right?
Glenn Stetson: Yes, that's absolutely right. Yes, just there are so many benefits to operating the midstream business and definitely want to commend the staff on a record quarter for San Mateo in terms of throughput on the water gathering side in terms of throughput on the gas gathering side, same for Pronto and resulted in record EBITDA for San Mateo, so.
Joseph Foran: We often say we play a straight game, and we're open to propositions from other people that may want to-end in this business. We've had a good partner in Five Point on the San Mateo side. That has made us a better company, and we like working with them. And -- but we're open to others. Pronto has come about in a really timely fashion for us. When we acquired it, we've got a second plant, as you know, going, again, reflecting the value. And if we have to divert some capital from our drilling budget to finish out the system. I think we'll all be glad that's good insurance money that our gas will be flowing and the others. And Brian has something he wants to say.
Brian Willey: Yes, Leo, great question. Maybe the second half of the question, and building upon what Joe said, the flow assurance, if you look on Slide I, you can see that our plant had over 99% uptime. And that new plant that we're building is on time and on budget for next year. As we think about the capital expenditures for next year, we, of course, will finish that plant. And then we'll also have other capital that we'll do as we build out the system. This year, we had about $225 million in capital expenditures on the midstream side. I think a maintenance capital expenditure program is probably in the $50 million to $75 million range. I don't think we're quite there yet. I think next year, we're somewhere between that maintenance program of $50 million to $75 million and the $225 million from this year. But I do think it's less than this year. And then when we get to 2026 with the system fully built out, then I think we'll be more to that maintenance cap level. If there's not any other great projects, of course. I think we always are looking for projects, and our guys do a fantastic job with the third parties and those opportunities. So -- but absent any of those types of opportunities in 2026, we'd expect we'd be more in that maintenance capital model.
Joseph Foran: We'll also give a shout out to Ronnie Raines, and his work on building that plant, and to Justin and Sean that are here that have worked out there and spent days in the field to make sure it goes right. So a great effort by everybody in the Jason Thibodeaux and Greg great have all. I'm sorry, my friend job's name, but I can't express that he and Jason just do a wonderful job and has got everybody working. So again, that's just another illustration of the way there's been great collaboration between the teams to get to a good result. And Sam Thomas. And Sam is another one has been with us a long time that Sam Witten and Thomas Green have been with us a long time, and they've really contributed. So I know I've gone beyond your question and mentioned these guys, but they need to be credited with the job they've done.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Michael Scialla from Stephens.
Michael Scialla: Hi, good morning, everybody. Chris, you mentioned you expect more Trimul-Fracs going forward and more of the remote operations. So I was just wondering if you could maybe explain the mechanics behind and maybe some of the advantages of the remote aspect of the Simul-Frac and Trimul-Fracs.
Christopher Calvert: Yes. Sure, Mike. That's a great question. It really starts with collaboration and teamwork between the teams, between the asset teams, the surface land team and then finally, kind of culminating with the operations team. And the fundamental thought behind it is if you have two surface locations that are some distance apart, maybe 1,000 feet or 2,000 feet, that you can take those two -- those two individual pads and use, whether it's surface casing, casing that's truly just laid on the surface to connect them together and complete those wells as a one operation with one frac fleet. And so that was really kind of the theme behind this. We pilot tested it in 2021, successfully piloted down on -- actually on our Stateline acreage on the Voni pad, where we strung two, three well pads together that would not have been Simul-Frac candidates and made them a six-well pad that we were able to use Simul-Frac on. And so that's really kind of the fundamental theme behind it of where it's truly an engineering efficiency. We're taking two pads that otherwise would not be able to benefit from the process. And with engineering, collaborative teamwork with the land team and everybody else, we feel that we've been able to transition over 90 wells that otherwise would not have been Simul- or Trimul-Frac candidates into those type of well completions and the savings that has been tied to those has been upwards of $20 million. And so that's really the idea of we work with the teams to set up well pads that will naturally be able to be Simul or Trimul, but in the instance where it's not, we can tie those two pads together and convert them to a Simul or Trimul Frac well completion.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Oliver Huang from Tudor Pickering Holt & Company.
Oliver Huang: Good morning all, and thanks for taking my question. Just wanted to hit on LOE. You all point towards some trends as a result of Ameredev volumes flowing through for Q4 and into 2025. Just wanted to see how is the pending sale of your Pinyon interest being flow through within where the Q4 guidance range sits today? And also any more specifics of things that you all are planning to do in the area that would allow for you all to reduce this component on ops in the Ameredev area?
Glenn Stetson: Hi, Oliver, this is Glenn. I'll take the question. So as it relates to Pinyon, that really doesn't have any effects. The sale opinion doesn't really have any effect on the OpEx for those properties. So I'll start with that. And then second, I do want to thank and express my appreciation for the professionalism of the Ameredev employees that helped us this quarter in transitioning and ensuring that we did have a smooth transition as we took over operations for those properties. As we mentioned in the release, the operating expenses for those properties are notionally higher than Matador's legacy production, base production. And so as a result, we did guide up slightly in Q4. I would say, Oliver, give us a little bit of time. We have recognized already $1 million a month in potential savings. A lot of that relates to the use of recycled produced water, as I mentioned, for hydraulic fracturing operations. And then chemical, production chemical spend is a place where there's some room for optimization, we feel and are already implementing plans to get those costs reduced and more efficient chemical usage. And then also on the personnel front, we've seen optimization there as well as we've really kind of moved their operations center from Austin out to New Mexico, where it's field-based. So there's three examples and we're looking at other ways to improve OpEx and looking forward to telling you a little bit more about it as we continue our operations out there. We're in about a month. So give us some time and it will be a lean machine.
Joseph Foran: Yes. Emphasize it. We don't have any problems with the way Ameredev did it, but we lean towards the practice of having a field-based operations as opposed to more remote on that, but very pleased with the quality of work. But again, what excites us most about Ameredev as well as the advance is the quality of the rock. I'm not a geologist, but our geological and engineering group to a person talk about that's good to have this kind of rock, it matches up with whatever we have advanced fit very perfectly adjacent to much of our properties and the same with Ameredev. It fits in adjacent to ours. So that was also an argument for that it'd be a good fit in the long run for us. And -- but it's a good question. And again, I would say to all of you, if you -- after this call is over, don't hesitate to call in, and we'll try to answer all your follow-ups and make sure you understand that this is -- was really a great quarter for us and really sets up 2025. So I think we have one more question. Go ahead.
Operator: Thank you. One moment for our next question. Our last question comes from the line of Scott Hanold from RBC Capital Markets.
Scott Hanold: Hi, thanks. Just hoping to get one follow-up. And obviously, the commodity market has been very volatile out there. And you all have very -- been very diligent in terms of looking at different ways of building the business and ground game is obviously a big component of that. And I'm just kind of curious, like what are you seeing on the ground game front right now? What's the appetite out there from kind of buyers and sellers? And do you think looking into 2025, do you feel good about like your ability to continue what you've done so far?
Joseph Foran: Yes. It's an interesting point, Scott. But what I'd like to emphasize what I've seen over my 40 years is that when you have a period of time where you have a lot of M&A, it's followed by a time of rationalization, particularly the larger the transaction by the big companies, for example, built by all of these, the whole bucket full of properties. Some of those won't fit their plans and they will rationalize them and sell them, and that creates a buying opportunity not only for us, but others where they would fit. I think you'll see some of those come along, a fair amount of rationalization will lead to some. And the second is that there some people and then the private equity area, the private equity companies tend to turn over their assets ever four, five years or some period of time. So you always have some of those coming on the market. And then you have situations where proposed wells don't fit their plan or fit their budget, and we like to try to be that company they turn to when they need a quick answer or help that they have more interest than they really want and want to lay some off. So we always try to be open to that, and it's surprising that things are going on all the time. Same way in the agriculture, you have farms and ranches trading all the time. And there'll be some years where they're more, and some years where they're less. But if you have a continuing presence and keep out there making deals and if you do a deal, and it ends on a happy note, like Advance and Ameredev, we hope that leads to other deals. We did a lot of deals last year, some were for more and some were for less, but I think our land department give a big shout out to Van and John that they ended those happy where a lot of repeat business. Van say that, right?
Van Singleton: No, you did. And I'll add just a little bit to that. Scott, you've not is a long time, and we've had this program consistently over the years the things we focus on are: one, creating situations that are a win-win for both sides, and I think that leads to keeping our pipeline of opportunities full. But also focusing on the best rock and focusing on the balance sheet and making sure that whatever deals we're looking at fit really well into what our operational plans are and again, our win-win on both sides. So with that, I think we're going to continue these relationships and continue to keep our pipeline of opportunities full and then make the decision at the time that's appropriate, whether or not it's something right for us.
Brian Willey: Yes. This is Brian Willey. I think this is the last question. So just a couple of things for those that might be doing the models out there. First, as regards to the gas to oil ratio, we appreciate the Street's optimism about our gas to oil ratio. I think as we look at the Street, it's probably close to 62% going forward, which we appreciate that. But I think once we factor in our Haynesville assets, that's probably closer to more of a 60% number, which really leads me to my second point, which is, I think there's been a lot of talk about gas recently, whether it's through AI or the new LNG terminals. And I just want to remind everybody that we have a significant gas bank that's in the Cotton Valley. I would expect over 200 to 300 Mcf of gas opportunities there. We obviously don't have those -- or Bcf, I'm sorry, Bcf of gas. We don't have those on our reserve report yet because we don't have a plan to drill those in the next five years. But if gas prices were to stabilize higher than we could, if we wanted to quickly pivot over there. In addition to the significant gas reserves we have that are over in the Delaware Basin. I think we have over 1.4 Tcf right now in gas reserves. And so we can we can increase those and become more gassy if that's what's needed. And then maybe finally, I think Joe probably won't want me to say this, but I'm going to say it anyway. The CEO Magazine which is the leading magazine here in Dallas, has recently selected Joe to receive its Legacy Award. It will be presented as a special awards presentation next week. And so this is a very prestigious award. Prior legacy award winners include Kelcy Warren, Trevor East Jones, Scott Sheffield and Boone Pickens. And just Joe's accomplishments over the last 40 years have put him right there with some of the best oil men that our country has known. And so congratulations to Joe. I think it's well deserved as we've grown Matador from a company that started with $270,000 from friends and family to a public company with a market cap of $6.5 billion. So just wanted to say -- he probably won't like it, but I just wanted to mention that. And congratulations, Joe, on this great honor.
Joseph Foran: Yes, there's a lot of disbelief among my friends for this, and they said they have to see it to believe it. So that -- I was really surprised by that, and it just shows you, if you have enough relatives, you can be elected to anything. But thank you, Brian. But again, I have to say that none of this would be possible without the participation of a lot of people over time, including some people from Mesa. We're sitting in the Jim Upchurch room, and he came from Mesa as Boone's top engineer, Marlin Downey. These are great men that really contributed a lot. Jack Sleeper, the former President of DeGolyer and MacNaughton, Marlin was President of both Shell and Arco and great staff members along the way working together. So I really haven't done so much. I can credit myself as much as just directing traffic among all these guys who have gone out and made it happen. So that's the main reason I like our chances going forward. Economics may change, commodity prices may change, but it's this group of people that are in the habit and have gotten to the point where they're making good decisions and the process is working with the collaboration. I'll agree to accept the award, but you got to know that I didn't do it without the help of everybody that's here in this room, and it's probably a good time to thank all of you all for making me look so good. So I think that's -- Gigi, I think that's our closing remarks unless somebody else has a question, but thank you, and thank all of you. This is, as I said, a supposedly a lifetime achievement, but I'd like to thank my life isn't over yet.
Operator: Thank you, ladies and gentlemen. This ends the Q&A portion of this morning's conference call. And thank you for your participation today. This concludes today's program. You may now disconnect.